Operator: Good day, ladies and gentlemen, and welcome to the Fresh Del Monte fourth quarter 2008 conference call. At this time, all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct a question-and-answer session. (Operator instructions) As a reminder, this call is being recorded. I would now like to introduce your host for today's conference call, Christine Cannella for the opening remarks.
Christine Cannella: Good morning and thank you, Darren. And thank you everyone for joining us. Welcome to Fresh Del Monte's fourth quarter 2008 conference call. I'm Christine Cannella, Assistant Vice President of Investor Relations. Joining me today are Chairman and Chief Executive Officer, Mohammad Abu-Ghazaleh, and Senior Vice President and Chief Financial Officer, Richard Contreras, who will discuss our results for the fourth quarter. Fresh Del Monte issued a press release this morning via Business Wire, e-mail and FirstCall. You may visit our Web site at www.FreshDelMonte.com to register for future distribution. This conference call is being webcast live at our Web site, and it will be available for replay approximately two hours after the conclusion of this call. Our press release includes reconciliations of any non-GAAP financial measures we mention today to their corresponding GAAP measures. The press release may be found in our Web site which again is FreshDelMonte.com. This morning Mohammad will review our operating performance during the quarter, along with recent developments and our future outlook. Richard will then review our financial performance for the fourth quarter of 2008. Please let me remind you that much of the information that we will discuss this morning, including the answers we give in response to your questions, may include forward-looking statements regarding our beliefs and current expectations with respect to various matters. These forward-looking statements are intended to fall within the Safe Harbor provision of the Securities laws. Our actual results may differ materially from those in the forward-looking statements as a result of various factors, including those described under the heading "Description of Business Risk Factors" in our Form 10-K for the year ended December 25th, 2008. This call is the property of Fresh Del Monte Produce. Redistribution, retransmission or rebroadcast of this call in any form without our written consent is strictly prohibited. With that I'd like to turn this call over to Mohammad Abu-Ghazaleh. Mohammad?
Mohammad Abu-Ghazaleh: Thank you, Christine. Good morning everyone. The fourth quarter of 2008 was a productive period for Fresh Del Monte and we delivered solid results, particularly given the difficult operating environment, general market turmoil, and weather related events that we faced during the quarter. We credit our performance to the way we continued to manage our business at every level of the Company. Everyone, from our field personnel to our senior management team, is dedicated to fulfilling Fresh Del Monte's mission to become the leading supplier of fresh and prepared foods to global markets. Our employees around the world demonstrate their dedication by working daily to execute our strategies, control costs, and deliver long-term value to our shareholders. From our earliest days, we instilled a corporate culture of cost consciousness and conservatism, a culture that recognizes that this Company belongs to all of our shareholders, particularly in a climate of irresponsible spending that we have seen at a number of companies in the U.S. and around the world. Our prudent approach has put Fresh Del Monte in a strong financial position. During the quarter, banana performance was particularly strong in North America, Asia-Pacific and Middle East regions. Historically, we have seen bananas do well during economic recession and we are seeing the same trend today. Banana supplies overall continue to be tight, which helped to drive substantially higher global pricing. Fresh Del Monte's Gold pineapple business continued to perform well. We lead our industry in Gold pineapple sales even as competition increases. We expect to maintain this commanding lead due to our large market position, our global distribution capabilities, and our increased production capacity from our Caribana acquisition. In our melon business, sales were low in our European and North American regions, the result of decreased consumer demand. Our smaller, less well-capitalized competitors, who do not have the financial stability to withstand a challenging economy, poor weather, and the need to invest to compete are being phased out of the market. Lower competition only strengthens our long-term position. Our fresh cut business continues to feel the impact of the recession in North America and the UK. We are intently focused on maximizing the efficiencies in this product category. We continue to work with our customers to remove low margin SKUs and we are seeing regional success and new customers in this product category. During the quarter, our prepared food business turned in a solid performance. The operational improvements we made in this business in 2007, such as closing certain UK operations and switching to third-party distributors contributed to the improved results. We will soon be introducing in the UK and Europe a new frozen food product line, including frozen fruit for the dinner table and frozen snack foods. This is an exciting new area for us and we will continue to introduce other innovative new products in the near future. Meanwhile, we are continuing to grow our business in the Middle East, a still emerging region that contributed $276 million in revenue in 2008 compared with just $36 million in 2005. We are on track to open two distribution centers in Saudi Arabia in 2009 with a sales schedule for 2010. In line with this expansion strategy, we announced several weeks ago a new long-term banana production and purchase agreement with Rise n' Shine Biotech, one of the largest diversified biotech floriculture and horticulture operations in India. This new relationship will enable us to source bananas for the Middle East and Asia. The proximity to the Middle East enables us to increase efficiencies by thriving transit time and cutting transport costs, while delivering high quality produce at the peak of freshness. The first shipment of Del Monte branded bananas is scheduled for export to the Middle East in June 2009. We are also striving to improve margins and we expect our strategy of securing additional sourcing opportunities in regions geographically close to end markets to contribute to the success of this effort. In addition, we are taking advantage of volatile market conditions to evaluate well-priced acquisition opportunities that offer major synergies. We always add tremendous value to these acquisitions by applying our disciplines and strategies to take out costs and improve efficiencies, just as we did with the Caribana acquisition. We continue to be dedicated to provide top quality products to our customers. Several weeks ago, Global GAP, which sets voluntary standards for the certification of agricultural products around the globe, certified our Philippine operations in both highland honey bananas, and Gold pineapples, making Fresh Del Monte the first Global GAP certified company in the Philippines. Meeting the Global GAP standard assures consumers that the food that they select has been produced with minimal environmental impact, appropriate application of approved crop protection chemicals and with focus on worker health and safety as well as compliance with internationally recognized standards of food safety. There are tremendous opportunities ahead for Fresh Del Monte produce. Although we expect 2009 to be a tough year, we have been through difficult economic cycles before and we know how to navigate the rough waters ahead. Fresh Del Monte today is larger and stronger than ever before in our history. We are healthy and lean and we have the right people in the right jobs. Our business is sound and our experienced management team is committed to driving profitability and fostering growth. As we tackle the challenges ahead, we are as dedicated as ever to improving our operations, expanding into new markets, and developing innovative new products to meet consumer demand. In this way, we will responsibly grow our Company and increase the long-term value that our loyal shareholders have come to expect from Fresh Del Monte Produce since the beginning. Richard?
Richard Contreras: Thanks, Mohammad, and good morning everyone. As Mohammad said, Fresh Del Monte had a very good quarter, and we're pleased with how well we performed in light of the turbulent global economy, volatility in the markets and general economic uncertainty. For the fourth quarter of 2008, excluding asset impairment and other charges net, Fresh Del Monte delivered EPS of $0.41 per diluted share compared with $0.68 in the prior year period. Net sales of $831 million, 2% lower than last year at this time. In the fourth quarter of 2007, we started selling through distributors in our European prepared food business, selling them an initial $31 million worth of inventory. If we exclude last year's initial sales of distributors, our net sales for the fourth quarter of 2008 would actually show a 2% increase for the quarter. In addition, excluding asset impairment and other charges net, gross profit decreased $6 million or 8% to $69 million, operating income rose 2% to $30 million and net income decreased 37% to $26 million. Now let me review our segment performance. During the fourth quarter, we continued to see outstanding performance in our banana segment including an 18% increase in net sales to $366 million. Worldwide pricing increased 15% or $1.70 per box to $13.14. Volume rose 3% and gross profit increased to $22 million compared with $2 million a year ago, due to increased pricing in our North America, Asia-Pacific and Middle East regions, offset by lower pricing in our European region. We continued to see higher costs in our banana segment, with costs up almost 9%. We were still working through our inventory of high priced fertilizers and other raw materials. We also continued to see significant price increases by the independent growers. For example, between the fourth quarter of 2007 and the fourth quarter of 2008, the minimum price paid per box to growers in Costa Rica increased from $5.85 to $7.17. More recently, in late January 2009, the minimum price increased another 6% to $7.59. Now the price we pay growers is higher as other costs are added on top of this, but this is the minimum price required by law. Clearly, the more of our own volume that we can control and the less reliant we are on growers, the better off we are. That's one of the fundamental reasons we made the Caribana acquisition. In our other fresh produce business segment for the fourth quarter, net sales decreased 8% to $342 million, primarily due to lower sales of tomatoes, Fresh Cut products and melons. Volume was 5% lower, pricing declined 4%, while costs increased 3%, and gross profit decreased 43% to $32 million, primarily due to the lower prices and increased costs. In our Gold pineapple category, net sales decreased 2% to $115 million. Volume rose 13%, primarily due to the Caribana acquisition while pricing was down 10%, primarily in Europe and unit costs rose 8%. We believe the decrease in pricing was driven by lower consumer demand, direct result of the weak economy. In our melon category, net sales decreased 10% to $61 million primarily due to lower demand in the UK and North America. Volume and unit costs were in line with last year's levels and pricing declined 8%. In our Fresh Cut category, net sales declined 11% to $66 million, volume decreased 12% and pricing was up 2%, while unit costs increased 4%. We continue to see some weakness in this category, due to economic conditions in the UK and the U.S. although as Mohammad mentioned, we are seeing some regional pockets of success. In our non-tropical category, net sales were in line with last year at this time. Volume increased 16%, primarily in our avocado and grape product categories. Pricing decreased 15% while costs declined 12%. During the quarter, our avocado product category improved significantly compared with the prior year period, when freezes in the growing regions severely impacted our volumes. In our tomato category, net sales decreased 27% to $30 million. Volumes were 21% lower, pricing decreased 7% and costs declined 12%. In our prepared food segment for the fourth quarter, net sales decreased 29% to $94 million, the reasons I mentioned earlier related to our shift to third-party distributors in the fourth quarter of 2007. Pricing increased 33% with a 32% increase in costs. Gross profit decreased $5 million to $13 million, but operating income rose $4 million as SG&A decreased. In our other products and services segment, net sales decreased 11% to $30 million for the quarter, driven by lower selling prices of Argentine grain. Now I would like to discuss some cost information in general. Although there is a general perception that costs are much lower, we had not yet begun to feel the full effects of this trend in the fourth quarter of 2008. Fruit costs for all products, which include our own production, procurement from growers, packaging costs, labor and foreign exchange increased 5% on a per-unit basis. These costs represented 70% of our total cost of sales for the quarter. Ocean freight costs, which includes bunker fuel, third-party charters and fleet operating costs, increased 11% on a per unit basis. This cost represented 15% of our total cost of sales for the quarter. Although the average cost of bunker fuel decreased 6% in the quarter, we experienced higher costs on third-party shipping. The foreign currency impact at the sales level was an unfavorable $16 million for the quarter compared with a $23 million benefit in the fourth quarter of 2004. The foreign currency impact at the gross profit level was a benefit of $9 million for the fourth quarter compared with a $14 million benefit in the fourth quarter of 2007. SG&A decreased 14% to $39 million from $46 million last year, primarily the result of shifting the prepared food business in Europe to third-party distributors. Our other income net was $20 million lower than the fourth quarter of 2007. The 2007 fourth quarter included $13 million in foreign currency gains and $6 million in gains primarily on the sale of assets. Interest expense net was up about $500,000, due to a higher debt balance offset by lower interest rates. At the end of the quarter our total debt was $513 million primarily due to our acquisitions in 2008. Tax expense for the quarter was a net benefit of $200,000, primarily the result of reversals from uncertain tax positions. Capital expenditures for 2008 were $102 million. We have projected capital expenditures of $120 million in 2009. This concludes our financial review. Operator, can you please open the line for questions?
Operator: Thank you. (Operator instructions) We'll go first to Scott Mushkin with Jefferies & Company.
Scott Mushkin – Jefferies & Company: Hey, guys, thanks for taking my question. I guess what I wanted to explore a little bit is as we go into 2009 if we continue to see volume challenges outside of bananas, how you flex your business model to react to that environment and is that kind of your main concern as you look out over the next fiscal year?
Richard Contreras: What do you mean by volume challenges in products other than bananas, is what you said, Scott?
Scott Mushkin – Jefferies & Company: Exactly. If we see consumption in those categories fall or be a lot less robust due to the economic environment.
Mohammad Abu-Ghazaleh: We have seen that impacting actually in the third quarter of last year. We started seeing some consumption slowness, in particular, in pineapples and the fresh cut items. But not to the point that we really have to run scared, because we do have – I mean, our outlets and we still have the capacity to market and to sell our products, regardless of the volume that we have. Volumes for pineapples for instance were not increased in what we have in the fourth quarter of last year, I mean in total. So as far as the fresh cut, we just adjust according to the market needs and we model our operations accordingly. As Richard said, we do see some reduction in fresh cut consumption. However, we are also seeing that some small players, medium-sized players are phasing out of the market and we are filling up that space and we have gained some businesses that we did not have before. So yes, on one side, we see lower consumption or purchasing power, but on the other side, as far as we are concerned, we are gaining more new clients as we go forward.
Scott Mushkin – Jefferies & Company: So Mohammad, I think you mentioned that some melon producers are going away. Do you guys have any data on your – was your market share up in 2008? Any idea how things will pan out in '09 and how many people have disappeared?
Mohammad Abu-Ghazaleh: Well, we can give you this information maybe on the next quarter call. However, we don't have this information as we speak. But definitely the situation that is happening with the melon is, in my opinion, the most difficult that I have seen in the last, I would say, 12 years that we have been in Fresh Del Monte. And I believe this situation cannot go on further, the way the producers are suffering and the availability of credit from banks and so on, are factors that in my opinion ultimately will straighten up the market.
Scott Mushkin – Jefferies & Company: And then maybe one final one, if I could. SG&A next year, are there any maybe parameters or expectations around that? Do you think you can hold that growth to flat to down again or is that going to be hard to do?
Richard Contreras: Well, that's what we work on every day. I mean, this will be the last quarter that you have the comparable, obviously to switching to distributors in foods. Obviously, we don't give any guidance on that. We may have to increase some marketing spend depending on how weak the economy gets, but we're going to continue to try to lower those costs.
Scott Mushkin – Jefferies & Company: So is the idea directionally to see it go down again or is that kind of the thought process without –
Richard Contreras: It should stabilize. Now that the comp is gone from prepared it should stabilize.
Scott Mushkin – Jefferies & Company: Perfect. Thanks for answering my questions.
Operator: We'll go next to Bill Chappell with SunTrust.
Bill Chappell – SunTrust: Good morning.
Richard Contreras: Good morning.
Bill Chappell – SunTrust: I guess first, on the Caribana side, didn't really understand. How much did that contribute or did it have a meaningful contribution to the bottom line this quarter? How do you see that playing out over the next two quarters, three quarters in terms of with the integration done, with the third-party contracts completed, should that start to be a bigger contributor?
Richard Contreras: It should. It was still accretive in the quarter but you're right, we still had the third-party contracts up until almost the very end of the year, so it will benefit us. We did lose some volume because of the flood, but it will be more accretive in '09 than it was in '08.
Bill Chappell – SunTrust: And again I missed the question on the floods. Is there a lingering impact in terms of additional charges in first quarter and second quarter of this year or are we largely – is that largely behind us?
Richard Contreras: We took as you saw about $3.7 million in impairment, and a little bit in the cost of sales line. That is what we lost. Those are the assets that we lost in the flood. We lost about 2.3 million boxes. And that's – so yes, that will obviously will linger for the next nine months until all that fruit is replaced. So that's all we've given on that.
Bill Chappell – SunTrust: Got you. There should be additional charges?
Richard Contreras: There should be additional impairment charges.
Bill Chappell – SunTrust: Okay. And then on the cost front, as we've moved into January, February, are you seeing the full benefit on either bunker fuel or lower fertilizer prices or what have you in terms of raising costs?
Mohammad Abu-Ghazaleh: Yes, we do, we do have seen downward pressure on the prices on these commodities. For instance, I can give you an idea about paper which we use for cartons, packaging. In November '08, the price was about $490 per ton. In January '09, went down to about $420. As we speak today, the price is around $390. So you can see that the trend is going south. As far as fertilizers and other chemicals also, they are on the downside going forward. So we anticipate better cost structure as we go forward.
Bill Chappell – SunTrust: And just follow up, so you worked through all your higher cost inventory as of the fourth quarter?
Mohammad Abu-Ghazaleh: Not really. You cannot because with fertilizers and chemicals we don't order – usually we have inventories because we cannot order monthly supplies. We do have like three months or four months ahead. And paper we do have it on a monthly pattern, the buying.
Bill Chappell – SunTrust: Got it. And then in terms of on the acquisition front, are there still some bigger opportunities out there that you're looking at or is it still more the smaller melon farms across the region?
Mohammad Abu-Ghazaleh: We cannot disclose that, be it small or large, but whatever fits our business and makes it viable and accretive to us, that's the kind of acquisitions we look for.
Bill Chappell – SunTrust: Okay. Great. Thank you.
Operator: And we'll go next to Heather Jones with BB&T Capital Markets.
Heather Jones – BB&T Capital Markets: Good morning.
Mohammad Abu-Ghazaleh: Good morning.
Heather Jones – BB&T Capital Markets: Real quick, just – I understand that you took the charges on some packaging, et cetera, but like you said, you lost close to 2.5 million boxes. Can you quantify give us a rough estimate of how much that increased your costs for the quarter? Not charges, but like your cost in cost of goods?
Richard Contreras: No, we don't, we've never give that, Heather. We don't calculate, we don't, incremental shipping or buying from other sources or anything like that we've never calculated that, we just give the impairment losses.
Heather Jones – BB&T Capital Markets: But it was an impact?
Richard Contreras: Sure.
Heather Jones – BB&T Capital Markets: Okay. And did you all get affected by the flooding in January, February that hit Costa Rica?
Richard Contreras: Yes. And this $2.3 million includes that (inaudible).
Heather Jones – BB&T Capital Markets: Okay. And going to the vertical integration question, you did the Caribana, which clearly made sense. Are you looking at further – not just on the melon side, but bananas, would you consider further plantation purchases to increase your vertical integration?
Mohammad Abu-Ghazaleh: It depends on what we are talking about, Heather. And if the price is right, so yes, we would look at certain plantations, but I think there are items that we would not expand and items that we would like to expand there.
Heather Jones – BB&T Capital Markets: Is bananas one of the items you would like to expand?
Mohammad Abu-Ghazaleh: Yes.
Heather Jones – BB&T Capital Markets: Okay. Then on the cost side, understand the fertilizer you buy three months to four months ahead, paper monthly, when because currently on a spot basis, bunker fuel is down about 50%. When will you start realizing those kinds of year-on-year declines?
Mohammad Abu-Ghazaleh: I guess with the paper, as I said, we buy it on a monthly basis so give it a month, but fertilizers I would say by the end of this quarter we would start maybe having new inventories, so we can enjoy the new cost. Bunker, it's a daily or weekly basis, so we are enjoying the market, it's more or less – actually, it has been – it's softened a little bit during the last couple of weeks, the bunker prices so we see it a positive trend.
Heather Jones – BB&T Capital Markets: If we look at the current spot bunker, we're looking at something in the low 2s or low to mid 2s?
Mohammad Abu-Ghazaleh: About 220, 225, depending on where you're looking, Europe or East Coast, whatever the ship is, but if you talk Europe it's about 225 today, 230, and the East Coast is about 250, so.
Heather Jones – BB&T Capital Markets: And that compares to low 4s last year? I mean is there any reason your cost comparisons wouldn't be similar to that?
Mohammad Abu-Ghazaleh: To which?
Heather Jones – BB&T Capital Markets: Like we have it week seven, it was 245 compared to 440 last year.
Mohammad Abu-Ghazaleh: Yes, more or less.
Heather Jones – BB&T Capital Markets: Okay. And then I just want to go through your outlook. Clearly, banana pricing is good, costs are coming down. You do have some higher purchase fruit costs, but it sounds like net-net your costs should be down and pricing good. On the melon side, demand is poor, but your costs were pretty onerous in '08 given the flood damage, fertilizer, et cetera. Would you expect improved profitability in melons in '09 because of the cost relief or do you think the demand side is going to outweigh the cost relief?
Mohammad Abu-Ghazaleh: I think you can have both factors being – I don't want to sound pessimistic, but I think we are going through tough periods for the melon business in the U.S. as we speak. And I think that it's a challenge that we go through where we have we are the largest offshore daily supplier of melons in the winter and we do have a very big position in the market and we do have a lot of contracted clients. So we believe that ultimately it will work positively to our side, Heather and we really have a strategy and we are applying the strategy and we are working accordingly.
Heather Jones – BB&T Capital Markets: Okay. And on the demand side, is it a function of melons are higher price in bananas or is it a function of lot of melons go into fresh cut so demand is down there, and thus there is too much supply? I mean, what is your view on that?
Richard Contreras: I think it is to some extent the economy more so, Heather.
Heather Jones – BB&T Capital Markets: Okay. And were your pineapple volumes, including Caribana, are they going have been affected by the floods? Are they going to be down?
Richard Contreras: No.
Heather Jones – BB&T Capital Markets: Okay. And then my final question is, we've seen where UK banana pricing has taken off. I'm wondering if you should benefit from that or do you have all long-term contracts so you won't benefit? Just if you could speak to that.
Mohammad Abu-Ghazaleh: We do have – actually, our policy has been very clear in the UK. That we last year – between last year and late 2007, we have closed some of our ripening facilities in the UK because we could not reach – obtain the prices that made sense to us. And recently we started reopening these ripening facilities because now we have contracts in place that protect us in terms of returns to – profitable returns to us. So, yes, we do have contracts but these contracts are sound and profitable. Otherwise, we would not be doing business there.
Heather Jones – BB&T Capital Markets: At better pricing?
Mohammad Abu-Ghazaleh: Definitely.
Heather Jones – BB&T Capital Markets: Okay. Alright, thank you so much and congratulations on your quarter.
Mohammad Abu-Ghazaleh: Thank you.
Operator: (Operator instructions) We'll go next to Jonathan Feeney with Janney Montgomery Scott. 
John San Marco – Janney Montgomery Scott: Hi, good morning, guys. This is actually John San Marco [ph] on behalf of Jonathan.
Mohammad Abu-Ghazaleh: Hi, John.
Richard Contreras: Hi.
John San Marco – Janney Montgomery Scott: Hi, there. Just wanted to sort of drill down into your comments, Mohammad, about your poorly capitalized competitors during your prepared remarks. Later on you sort of referenced the small and mid-tier fresh cut guys, but presumably you're seeing poorly capitalized competition across your whole portfolio? So I was hoping you could just sort of comment on where you're seeing the greatest benefit from that and how exactly that benefit is manifesting itself?
Mohammad Abu-Ghazaleh: Well, as an example, we are seeing, for instance, retailers that have not been – over the last few years, if we approach them to sell them some fresh cut, for instance, items or even pineapples, they were reluctant or declining because of pricing, because of other – so many other alternatives. Now, we see these same retailers coming back and asking us if we can start supplying them with the products, which by itself demonstrates that there is some type of change in the market and we know that because our people in the sales and marketing are following up on this and we see a positive trend to a company like Fresh Del Monte, very well capitalized, very well run, people know what they are doing and I think that's the – that's really, to put it bluntly or say the truth, is that Fresh Del Monte in the produce is probably, in my opinion, even though I cannot vouch for myself, but we are the people that understand this business, and we have demonstrated over the last 12 years that we can deliver in bad times and good times. We have maintained our very strict procedures as far as costs, as far as our policies and contracting with growers. We know when we have to pay and we stop when we know that it's too costly, unlike competition, sometimes they go and contract fruit that is out of logic. You can't pay prices in order to get volume, but in our case, we are very disciplined in that regard. So I – all in all, I believe Fresh Del Monte, like I said earlier is a company that will go through bad times and good times, but we'll always be above the water.
John San Marco – Janney Montgomery Scott: Okay. Thank you. The $18 million less than anticipated CapEx gap, I guess you spent 100 you said versus the 120 you had guided to. Were those projects you – I guess what sort of drove that shortfall and should we expect you to make that up in '09?
Richard Contreras: No, I don't think so. I think the '09 is 120, similarly in '08. A lot of that is discretionary, so at the beginning of the year typically you've got a lot of targets that may come in lower later, and it depends on how everything goes also. But I think you should still use the 120, which does not include making up for the '08 shortfall. And we'll update that guidance every quarter.
John San Marco – Janney Montgomery Scott: Okay, thank you. And then as far as the couple weak spots you mentioned around macro sensitivity, is it – generally speaking, are you seeing in the categories consumers are avoiding a little bit because of the economic environment, pineapples, melons, are they – is it that they're shifting to lower quality product? Are the categories as a whole shrinking? And I guess sort of a third sub question to that is, is it just fewer trips to the grocery store that's driving it or is it consumers' view of pineapples and melons as a bad economic proposition for them and they'll just find something else altogether?
Mohammad Abu-Ghazaleh: No, I don't believe so. It's a combination of factors. Fewer times going to the supermarket, that's true. In my opinion, in the melon, melon has been actually very big factor into the food service. Restaurants, hotels, and – that this industry has been affected, impacted negatively. And that's in my opinion one of the reasons why we see. As far as the retail itself, I believe that's still there and still sound and people are still eating melons. I believe where you will see the impact is more on the food side – on the food service side. But this is – like any other cycle, this will be temporary. Right now what we see is that, in my opinion, melons is oversupplied, and that's what's really hurting the market, and that's why I say that the market is going to clean itself by itself. I mean that small producers less efficient cannot withstand the impact that they are feeling with these markets. So we are not pessimistic about the markets. We are still moving hundreds of thousands and millions of boxes every month, so we are not really scared but we have to adjust and work according to the market environment.
John San Marco – Janney Montgomery Scott: Great. Well, thank you very much for your time.
Mohammad Abu-Ghazaleh: My pleasure.
Operator: And we'll go next to Vincent Andrews with Morgan Stanley.
Vincent Andrews – Morgan Stanley: Thank you, everybody. Just a bunch of quick ones here. On foreign exchange in the quarter, you said it was a negative $16 million hit to sales, but it was a $9 million gain to gross profit. Can you just help me understand how that worked out?
Richard Contreras: Yes, we had some benefit from – we continue to have some benefits on the cost side on the pound, on the Korean Won primarily, but on a lot of the lines, Costa Rica, Chile.
Vincent Andrews – Morgan Stanley: And that benefit should persist in 2009?
Richard Contreras: Well, depending on how the dollar goes, obviously. Yes, it seems to still be there.
Vincent Andrews – Morgan Stanley: At current rate of exchange?
Mohammad Abu-Ghazaleh: Don't forget that in the last year or two, all these emerging and developing countries were enjoying very high currencies due to the booming economy that they had and most of these countries now are back to normal times.
Vincent Andrews – Morgan Stanley: Okay. But you used to not actually give out the sales benefit or the sales effect of foreign exchange on the top line, so if I look at 4Q '07 obviously I see you had a $27 million headwind to the top line, but only $14 million of that showed up on the gross profit line and now that trend is reversing. So at current rates of exchange, it seems like as you go through this year you should actually get a boost to the gross profit line from foreign exchange, is that fair?
Richard Contreras: Yes, that's fair, assuming that things stay the way they are.
Vincent Andrews – Morgan Stanley: Okay. And then the other piece was, we sort of touched on it, but through the course of the year, obviously, lower bunker fuel is going to be a benefit to you. You wouldn't care to kind of give us a framework for which to estimate it assuming the current bunker fuel price stayed where it was for the balance of the year?
Richard Contreras: No, no, I'm sorry we don't give that kind of –
Vincent Andrews – Morgan Stanley: Okay. Thank you. And on the Middle East revenue in the quarter, was that lower sequentially because of foreign exchange?
Mohammad Abu-Ghazaleh: No. I mean, in the Middle East, the dollar is fixed so we don't see any – much – any significant, I don't see where it's –
Vincent Andrews – Morgan Stanley: Because I feel like – let me look at the release, maybe I got this wrong, but I felt that – I thought Middle East you had $71 million in the quarter sequentially – year-over-year, you had $71.6 million in revenue in the Middle East in the fourth quarter this year versus $87.5 million last year, so I was just curious why it was down year-over-year?
Richard Contreras: Yes, some of that, Vincent, is because of the demand in Japan, because of the banana diet and other reasons we had, we diverted some of that fruit into Japan. Remember, that fruits coming out of Philippines, so we can send it to either market depending on.
Vincent Andrews – Morgan Stanley: Understood. And then on your cash flow statement – or I'm sorry, on your balance sheet, you got $358 million of the current portion of long-term debt.
Richard Contreras: Yes.
Vincent Andrews – Morgan Stanley: What's the plan for that?
Richard Contreras: Well, that's revolving line of credit expires in November '09. We're enjoying a very low interest rate right now, so we will – obviously we're going to renew it this year. We'll see what month is appropriate.
Vincent Andrews – Morgan Stanley: You'll review it – you'll renew it as a revolver, not look to term it out or anything?
Richard Contreras: We're exploring a lot of different options there right now.
Vincent Andrews – Morgan Stanley: Okay. And then just on – in the North American banana prices, as bunker fuel comes down and you were able to put some fuel surcharges in the contracts in the U.S. over the last year or so, are you at all concerned about having to give back price in the U.S. market?
Richard Contreras: Obviously, the fuel surcharges have come down significantly. Yes, it will be a challenge like it always is to pass on these costs increases. That's always been the challenge.
Vincent Andrews – Morgan Stanley: I'm just talking about the costs – the particular costs decrease that you're going to get this year, which is bunker fuel, do you have a feeling that is going to need to – is that's going to wind up coming out of the U.S. banana price?
Mohammad Abu-Ghazaleh: No, the bunker cost is different – it's separate from the price. Definitely if – we have a bunker clause which in my opinion we don't want to disclose what we have in our contracts to our suppliers – to our buyers, but definitely we have a bunker clause that, in my opinion, was structured in a better way than our competition, in a sense that if the price goes down for sure we will have to adjust the bunker clause for the buyer as well.
Vincent Andrews – Morgan Stanley: Okay. So you might see some – you might see – so I think what you're saying, Mohammad, is that on a – from a gross profit perspective this year, you're not worried about the bunker fuel clause, but that might cause you to have – it might hit you a little bit on the top line, but it will be offset on the cost of goods sold line, is that fair?
Richard Contreras: Yes, that's fair.
Vincent Andrews – Morgan Stanley: And then I just wanted to make sure I understood the fruit procurement cost issue as it related to the floods. One of your competitors that was affected by the floods as well put out a pretty sizable number in terms of what their fruit procurement costs were going to be in '09 relative to '08 as a function of those floods, and it sounds like you said had 2.3 million boxes that are gone. Are you going out into the open market to repurchase those 2.3 million boxes or are you just going to kind of – you've got incremental capacity coming from Caribana, so are you going to just kind of wait until you regrow your own product, unless opportunistically you can buy those boxes at a reasonable price? How should we be thinking about that?
Mohammad Abu-Ghazaleh: This is exactly what the last part of what you just mentioned, that would be our policy. Anyway, that shortage will be only for a very short period of time. It could be for the next month or two. But come May, there will be abundance of fruit in our farms and every other farm. So if you contract in December and you pay – and you mentioned our competition, and if you pay very high price in December to go through the whole year receiving the fruit, you definitely enjoy three months, four months of availability of fruit and the markets are good, but then what do you do with the fruit the rest of the year, when the prices start diving $3, $4 down, in the spot market, I'm not talking about the contract, but Europe and other markets in the world. So we cannot compare ourselves to someone else, because our policy and our way of doing business is different from others. So really cannot compare apples-to-apples here.
Vincent Andrews – Morgan Stanley: Sure. So if I just wanted to think about what your banana volume number is going to look like in 2009. It's obviously your base level plus Caribana and then it's going to be – we're going to subtract some amount of that $2.3 million depending on whether you're able to go out and purchase it or whether you don't, is that the right way?
Mohammad Abu-Ghazaleh: That's correct. We can buy some of – to replace this fruit and we might have higher productivity in our farms and the independent farmers, which will cover this and more maybe.
Vincent Andrews – Morgan Stanley: Okay. And the only other thing I thought I would ask would be last year there were problems with actual melon production. This year it sounds like it's going to be melon demand and I'm forgetting off the top of my head how the seasonality works, but how are the melon crops developing so far year-to-date?
Mohammad Abu-Ghazaleh: Today, I think the crop in Costa Rica is doing well. Actually we have higher yields than we anticipated, and this is also putting pressure in the market, when we have much higher yields than what we forecasted. First, we have to send to the market so it's going – as far as production itself, it's going quite well.
Vincent Andrews – Morgan Stanley: Okay. And presumably the melon price, there were elevated melon prices last year when supply was reduced because of the weather, presumably those elevated prices have fallen off? Is that right?
Mohammad Abu-Ghazaleh: That's right, yes.
Vincent Andrews – Morgan Stanley: Okay. I think that's all I've got. Thanks, everybody.
Mohammad Abu-Ghazaleh: Thank you.
Operator: And we'll take a follow-up question from Heather Jones with BB&T Capital Markets.
Heather Jones – BB&T Capital Markets: Thank you. Real quick, on Asian banana demand, how is pricing holding up there? Is it strong that had been or –
Mohammad Abu-Ghazaleh: It's been consistent, Heather. It's strong. Let's be honest, it's – year-over-year, it's much stronger and it's consistent, which is – it's a good sign.
Heather Jones – BB&T Capital Markets: Right.
Mohammad Abu-Ghazaleh: And it's mainly because of the – in Japan, because of the banana diet that they are enjoying. And I think there is also we can see a little bit more consumption and more demand. Like we said, in recessionary periods you see people consuming more bananas.
Heather Jones – BB&T Capital Markets: So even if there wasn't this diet, you think that demand would be up?
Mohammad Abu-Ghazaleh: The demand is a little bit up, yes, even without the banana diet.
Heather Jones – BB&T Capital Markets: And what about your prepared food business, how is demand holding up there?
Mohammad Abu-Ghazaleh: On prepared food?
Heather Jones – BB&T Capital Markets: Yes, the –
Mohammad Abu-Ghazaleh: The prepared food, we do enjoy because the pineapples now, still Thailand is facing drought and shortages, Indonesia is the same. So we believe that in our pineapple category we will have enjoy still a nice market like last year. As far as peaches are concerned, there has been abundance of – unlike last year, so we do have some slowdown on the peach side. But all in all, I think we are doing well. We're expanding into new markets, putting the products in a much larger scale and we hope that we will continue and we are optimistic that we will continue to do the same.
Heather Jones – BB&T Capital Markets: Okay. And then going back to the North America banana price, from what I understand fuel surcharges are being rolled back, but contract pricing is higher. So even if fuel surcharges come off – or go down, I should say, the underlying contract price is higher, is that fair?
Mohammad Abu-Ghazaleh: Yes, I can say that.
Heather Jones – BB&T Capital Markets: Okay. And I believe you will have some exposure to the spot market. From what I understand, that market is pretty strong year-on-year. Is that consistent with what you're seeing?
Mohammad Abu-Ghazaleh: The spot market, banana spot market?
Heather Jones – BB&T Capital Markets: Yes.
Mohammad Abu-Ghazaleh: Yes, it is very hot right now.
Heather Jones – BB&T Capital Markets: Very hot?
Mohammad Abu-Ghazaleh: Well, strong.
Heather Jones – BB&T Capital Markets: Okay. Alright. Thank you.
Mohammad Abu-Ghazaleh: In our language.
Heather Jones – BB&T Capital Markets: Yes. Okay. Thank you.
Operator: That concludes the question-and-answer session today. At this time, I'll turn the conference back over to Mr. Abu-Ghazaleh for any additional or closing remarks.
Mohammad Abu-Ghazaleh: Thank you very much. At least Heather has closed the conference call, nice ending. So thank you very much everybody and hope to – look forward to speak to you on our next quarter for the first quarter and wish you a good day. Thank you.
Operator: This concludes today’s conference call. You may now disconnect at this time.